Operator: Good afternoon, ladies and gentlemen, and welcome to the Universal Corporation First Quarter Fiscal Year 2024 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to Jennifer Rowe. Please go ahead.
Jennifer Rowe: Thank you for joining us. George Freeman, our Chairman, President and CEO; Airton Hentschke, our Chief Operating Officer; and Johan Kroner, our Chief Financial Officer are here with me today and will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone in a taped replay. It will remain on our website through November 2nd, 2023. Other than the replay, we have not authorized and disclaim responsibility for any recording, replay, or distribution of any transcription of this call. This call is copyrighted and may not be used without our permission. Before I begin to discuss our results, I caution you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future and are representative as of today only. Actual results could differ materially from projected or estimated results, and we assume no obligation to update any forward-looking statements. For information on some of the factors that can affect our estimates, I urge you to read our 10-K for the year ended March 31, 2023. Such risks and uncertainties include, but are not limited to, impacts of COVID-19, customer-mandated timing of shipments, weather conditions, political and economic environment, government regulation and taxation, changes in interest rates and exchange rates, industry consolidation and evolution, and changes in market structure or sources. Finally, some of the information I have for you today is based on unaudited allocations and is subject to reclassification. In an effort to provide useful information to investors, our comments today may include non-GAAP financial measures. For details on these measures, including reconciliations to the most comparable GAAP measures, please refer to our current earnings press release. Our tobacco operations performed well and are off to a good start for our fiscal year 2024. Segment operating income was higher for our tobacco operations segment in the quarter ended June 30th, 2023, compared to the quarter ended June 30th, 2022, even though we did not have the benefit of large shipments of carryover tobacco from certain origins that we had in the first quarter of fiscal year 2023. Demand for leaf tobacco from our customers remain strong and our level of uncommitted tobacco inventory was 16% of tobacco inventory at June 30th, 2023. We are forecasting increased leaf tobacco production in fiscal year 2024 compared to fiscal year 2023 and believe that even with the increased production, leaf tobacco will remain in an undersupply position. We are pleased with the ongoing progress we are making to integrate our plant-based ingredients platform, and we continue to execute on our strategy to invest in and expand the platform's capabilities for future growth in existing and new products. For the quarter ended June 30th, 2023, the platform faced off demand due to high customer inventory levels, and our earnings for the platform were below our expectations. We believe that many of our customers are continuing to draw down on the raw material inventories after building inventories to protect against prior supply chain uncertainties. The inventory challenges have been more extensive and persistent in duration than we had forecast. In addition, the expansion of the platform's capabilities added to our costs. While a sharp drop in certain new raw material prices resulted in inventory write-downs in the quarter ended June 30th, 2023. We continue to believe the inventory challenges are temporary and expect excess inventory levels held by our customers to eventually work down. One of the main objectives of our current investment in our plant-based ingredients platform is to expand our portfolio to include more value-added products for customers. We believe that we are well-positioned to capitalize on demand from our customers and that with the investments we are making, we are a stronger partner for current and future customers due to the expanded range of capabilities and products that we can offer them. We are encouraged by ongoing customer engagements regarding existing business and new business opportunities. Some financial highlights for the quarter ended June 30th, 2023. Net loss for the quarter ended June 30th, 2023 was $2.1 million or $0.08 per diluted share. Excluding certain non-recurring items detailed in today's press release, net income and diluted earnings per share decreased by $8.2 million and $0.33 respectively for the quarter ended June 30th, 2023 compared to the quarter ended June 30th, 2022. Operating income of $11 million for the quarter ended June 30th, 2023, decreased by $2.2 million. Segment operating income for the tobacco operations segment was up $0.8 million, while segment operating income for the ingredients operations segment was down $6.6 million for the quarter ended June 30th, 2023 and compared to the quarter ended June 30th, 2022. Selling, general, and administrative expenses were up $9 million in the first quarter of fiscal year 2024 compared to the first quarter of fiscal year 2023. Our cost, notably interest costs and prices for green leaf tobacco, remained high in the quarter ended June 30th, 2023 compared to the quarter ended June 30, 2022. Interest costs were more than double on higher interest rates in the first quarter of fiscal year 2024 compared to the same quarter of fiscal year 2023. Our debt balances, the sum of notes payable in overdrafts and long-term obligations, were relatively flat in the quarter ended June 30th, 2023 compared to the same quarter in the prior fiscal year as working capital requirements to fund larger tobacco crops and higher green tobacco prices were partially offset by increased customer deposits. We continue to make transparency around our sustainability efforts and goals as priority. We recently completed our annual submission to the global nonprofit organization, CDP, regarding climate change, forestry, and water risk to provide more information on our achievements in these areas to our stakeholders. We continue to work with third-parties to verify our emissions and establish our pathway to net zero to the identification and prioritization of high-impact projects throughout our footprint. At this time, we are available to take your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Ann Gurkin from Davenport. Your line is now open.
Ann Gurkin: Good evening everybody.
George Freeman: Hey Ann.
Ann Gurkin: Hi. I want to start with the Ingredients business. A couple of questions related to that business. One, do you think end-market demand has changed for plant-based products? I think some companies, customers are commenting maybe slower end market demand, not inventory build because of COVID build, but just overall market dynamics. I was wondering if you could comment on that.
George Freeman: I don't -- I have not seen of -- I mean, we -- looking at sort of the end users to whom we sell, I've seen drastic reduction in their scale volumes. We think it's just -- they're just -- it's just they're rightsizing and streamlining their supply chain. And it's gone on longer than we expected. I think there's some mixed signals that it may be abating some, but we can't -- we don't know for certain.
Ann Gurkin: Okay. And then I think last quarter, you talked about investing to expand capacity. Is that on track. Could you make an update on that objective?
Johan Kroner: Yes, it is on back -- that will not come online until calendar year 2024 somewhere.
Ann Gurkin: Okay, great. And then in the release, when you talked about including more value-added products for our customers, does that include potential M&A? Or is that more reflecting the capacity you're adding, sorry?
George Freeman: That's the capacity and it's sort of combining the three pillars to produce--
Johan Kroner: Yes. And as well, and as we have pointed out previously, Ann, that's why we're incurring additional costs with regard to resources on the R&D side. We have brought on quite a few people in order to be able to create some solutions for certain customers that use the entire platform and our ability to be able to go to these customers with unique solutions for what they're looking for.
Ann Gurkin: Great. That's great. And then can you comment at all on projected sequential improvement in margins for the Ingredients segment for fiscal 2024?
Johan Kroner: No, I really can't. We need to first get out of this patch of soft demand and then we can go from there. But currently, that soft demand, there's pressure everywhere in order to just have the sales that we have. So, those pressures are just there right now. If we get out of that patch, then we can go from there.
Ann Gurkin: How about can you turn a profit in the business for the fiscal year?
Johan Kroner: Yes, we certainly hope so because that's why we are in it. But again, it all depends on how long this patch lasts and when this thing turns around. As you know, if it lasts long enough, we -- certainly, it's not across all of the items. We're seeing an uptick in demand in certain areas. But again, this thing is certainly lasting longer than we had anticipated.
Ann Gurkin: Okay. That's great. That helps. And then turning to tobacco, I guess you didn't change any kind of crop outlook for US Just given the hot weather, I know it's still the growing season, I was just curious if there's any other comments regarding the domestic tobacco leaf crop?
Airton Hentschke: What we see here and in the US flue-cured crop it is progressing nicely, and that hot weather did not produce negative impacts lately. We are seeing forecasted increase in overall volumes on the flue-cured compared to last year. On the burley side, we saw some impact related to weather, some heavy rain and some hail. But the volumes also that we are projecting, they are higher than last year. And then, of course, in US, in Pennsylvania, in Connecticut, in Tennessee, and Kentucky, we also produce wrappers styles. And that crop has been affected in different areas somewhere a little bit more; in others, a little bit less. But keep in mind, it is a little early in the whole process. And I think in the next quarter, I can update you on where we stand. But so far, we don't see any negative impact and hopefully, that we are not going to face any extreme weather conditions in the next couple of months.
Ann Gurkin: Great. That's great. And then I get an update on the outlook for the oriental tobacco crop JV was down significantly in the quarter. What's the outlook for the year for that crop?
Johan Kroner: Yes. That one is specifically, of course, with regard to the unfavorable foreign currency comparisons due to the local currency denominated net assets and a weakening local currency environment and a high interest rate. This is about Turkey. This is specifically about Turkey. A tough environment for those folks there and we're just trying to get through this crop.
Ann Gurkin: Okay, that's great. That helps. CapEx for the year, I'm sorry, did that change? I didn't have time to look in the Q, I'm sorry.
Johan Kroner: $65 million to $75 million still for the next 12 months.
Ann Gurkin: Okay. And then I need help, if you can give any help with SG&A expense for the year or interest expense. I'm struggling with those two lines. They have gone up dramatically over the next -- or the past couple of years, and I don't see how that's coming down. So, that's what I would need help with, sorry.
Johan Kroner: Yes. It's early on, of course. The debt levels in Q1 were similar to last year, but certainly, the interest rates are higher. As you will know, our working capital are usually higher in the first half of the year and green leaf tobacco prices are up. But that one is all I can tell you there. With regard to the SG&A, there is lots of variables there. Of course, we're trying to highlight the big movers in the current quarter. Certainly, the weakening US dollars in certain origins didn't help us. And then compensation increases and the higher travel costs also impacted those numbers. So, we always and continue to look at SG&A and try to determine whether or not there is any efficiencies to be had, so we will continue to do that.
Ann Gurkin: So, using the Q4, Q1 number, SG&A number for the full year, every quarter for the full year, is that a reasonable base?
Johan Kroner: Again, we don't give guidance there, Ann, we'll have to see how this whole thing pans out.
Ann Gurkin: And are higher SG&A expenses related to the Ingredients business also built into that line?
Johan Kroner: Yes. The SG&A is built into [Indiscernible] yes, ma'am.
Ann Gurkin: Okay, great. And then, Jennifer, I don't know if you have worldwide uncommitted leaf numbers?
Jennifer Rowe: Sure. 26 million kilos as of June 30th. That's up 9 million from the March 31 number. 
Ann Gurkin: Great. And then any change in priority use of capital for the business?
Johan Kroner: No, there is not.
Ann Gurkin: Okay, that’s great. Thank you. Appreciate your time.
Johan Kroner: Thank you.
George Freeman: Thank you.
Operator: There are no further questions at this time. I will now hand over to Jennifer. Please continue.
Jennifer Rowe: Thank you all for joining us on our call today.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.